Operator: Good morning. My name is Joana and I will be your conference operator today. At this time, I would like to welcome everyone to AGI's Fourth Quarter and Final Year-End Results Release and Conference Call. [Operator Instructions] Thank you. Mr. Tim Close, you may begin your conference.
Tim Close: Good morning. Thank you for joining Steve Sommerfeld and I this morning. I'll start off with a short apology. I've been dealing with a round of non-COVID related illness in my household. So I may mute sporadically throughout the call as I cough up and stuff.  We'd like to open our comment this morning by recognizing our team members in Northern Italy who up until a recent complete lockdown continued to operate across three locations during this crisis all in one of the most intensely impacted regions in the world. Our team there developed and implemented policies and procedures to responsibly and safely operate without a single positive case of COVID. The Italian team has been an inspiration to all of AGI. We’re implementing what we learned there across all of our facilities. We learned that we can prioritize the safety of our people while continuing to operate to also safeguard the livelihood of our people. We have many shareholders within AGI and many of that are listening this morning. Steve and I would like to thank everyone in AGI and our partners for the outstanding response and support for each other, for AGI and for our customers. Now let's jump in here and summarize where we stand today. We entered this crisis with good momentum across AGI. We had record backlogs in our international business, strong backlogs in our North American farm business and stable backlogs in North American commercial. As we move through Q1, our technology business is up over 200% year-over-year and we're set to launch B2 of our SureTrack platform. The data is out now and it is a beautiful platform that drives tremendous value for our farmers. We’re very excited to get this released. Farmers are preparing to plant or are planting right now in much improved conditions over the last year. These are good underlying fundamentals. The COVID crisis has created substantial uncertainties across all of our markets and operations. Today, we have suspended production in France, Italy, Brazil and India due to strict lockdowns or regional conditions. As it stands, these suspensions are scheduled for two to three weeks. While production is suspended, we’re continuing with all design and engineering work and quoting on new projects. This work is carrying on rather well with our team setting in to working from home. This important work, this is very important work that represents roughly 25% of the work that goes into a typical project. So we are far from idle. Continuing this work positions us well to resume production, post crisis. For any facilities with suspended production, we’re utilizing vacation time, leave and government programs to mitigate the impact. Now at this point, we believe our backlogs are solid, the pipeline of new business is solid and we can efficiently resume production in the plants that are or may have production disruptions. In fact, we continue to add to our backlogs each week. For example, Sabe is having a record month in new orders and our North American farm business intake is higher over the past five weeks than the same period last year. At the same time, the uncertainties created by COVID will have an impact on capital decisions for projects and the timing of those delays is simply unknown. The crisis has been steadily marching last, and we've been preparing our businesses in Canada and the U.S. based on those important lessons from Italy. Multiple states and provinces have declared our products, services and technologies as essential services providing us with the opportunity to use what we've learned in Italy to implement strict policies and procedures and continue to safely and responsibly operate in this environment. We fully understand the severity of the current situation. We’re living through the worst bit in Italy and across our operations in India, Brazil and France. The most important unknown at this point is the duration of the lockdowns. If the production lockdowns are limited to two to four weeks, then the impact can be mitigated. As we move into longer lockdowns, then the impact obviously starts to build. At this point, we simply don't have visibility into the ultimate length of the lockdowns. Now the world, how the world looks post crisis will ultimately determine the longer-term impact on each business. The cruise line industry is unlikely to bounce back for instance. For AGI, the picture is quite clear. Fertilizer and seed will need to make their way to fields, farmers will plant, spray, harvest and market, grain will trade, animals will eat and grocery stores will continue to fill with fresh and processed products along with newly expanded toilet paper sections. Our customers are critical participants in the world's food supply chain from farmer to feedlot to food processor. They are experiencing increased demand for their products now and current or required exemptions from lockdowns in order to continue to supply the world. Our customers are busy during this crisis. My bet is that they will be even busier post crisis as the world builds additional capacity for the food infrastructure to better prepare for the next crisis that now seems that much more likely. Let's talk about liquidity. We've been proactively dealing with our liquidity prior to COVID as evidenced by the amended and extended credit facilities that we announced last week. In combination with the debenture we completed earlier in the year, we’re well positioned from the liquidity perspective with $80 million in revenue, our current facilities and access to expand that via our accordion in a very supportive banking syndicate. Given the current crisis, we’re in steady communication with our banking partners working to prepare for the worst and remain confident that that support will continue. We simply do not know the extent or duration of this crisis. So, acting reasonably, we moved to monthly approvals for our dividend. Each day brings more information. And as you would expect, we are digesting the developments each day to determine the end. As you would expect, we're digesting the developments each day to determine the impact on our business. We will do nothing in haste. With those comments, I'll turn the call over to Steve to review the quarter.
Steve Sommerfeld: Okay, thanks, Tim. Our results in the fourth quarter of 2019 were consistent with our previously communicated guidance. Trade sales increased 7% to $230 million due largely to strong demand for portable grain handling and drying equipment and contributions from acquisitions, most significantly Milltec in India. However adjusted EBITDA decreased compared to Q4 2019 due to the impact of very poor growing conditions in the U.S. and the impact of trade uncertainties and the timing of sales related to our commercial backlog as well as an increase in investment in sales, marketing and technical resources related to our AGI SureTrack platform. Prior to the emergence of COVID-19, activity in the first quarter of 2020 were generally consistent with management expectations. Farm sales have been steady and our farm backlog at the end of February was 14% higher in the U.S. compared to the prior-year. But we did not expect excuse me, but we did not expect the carryover impact of a difficult 2019 growing season in the U.S. to meaningfully reverse prior to the 2020 planting in Q2. Our international sales order backlog is 30% higher than the prior-year and at record levels in Brazil. However, the sales remain weighted to the second half. In addition, the investment in our growing AGI SureTrack platform and other technology and marketing initiatives was higher than the prior-year, due largely to these factors when compared against the strong Q1 2019, that included a significant contribution from our commercial business in Canada. We did not expect year-over-year organic growth. In summary and described more fully in the MD&A, we expect adjusted EBITDA in Q1 of 2020 to approximate Q4 2019 results. On March 20 of 2020, we announced, we have amended and expanded our credit facility with a syndicate of five Canadian banks led by CIBC. With the outbreak of COVID-19, this previously planned extension takes on an increased importance but facility was extended to March 20 of 2025 and the amendments include an increase in the maximum senior debt leverage ratio to 3.75 for the balance of 2020 and an improved pricing grid. As of December 31 2019, AGI senior debt leverage ratio as defined in our credit agreement was 2.65 times. And with that, I will turn it back to Tim.
Tim Close: Thanks, Steve. We will open the lines for questions. However, I will preface this by repeating that there are simply too many unknowns to be speculating on possible events. We had 34 locations across five distinctly different regions that are all at different stages of this crisis. Each region is implementing unique response to this crisis. The answer to many of your questions will be simply that it's too early to tell. Let's focus on the facts as we know them this morning. And with that, Joanna, let's open the line to questions.
Operator: [Operator Instructions] The first question comes from Jacob Bout from CIBC. Please go ahead.
Jacob Bout: My first question here is just as we think about what's going on right now and with these plants shut down in Italy, India, France and Brazil. Of those four areas, what would that represent as a percentage of revenue and EBITDA?
Steve Sommerfeld: Well Jacob, hey it’s Steve. As a percentage of revenue it may not represent almost all of our international production or offshore production which our international sales are trending along 30% of our total sales. I would note though, that our international sales also include exports from the U.S. So what you see in our International sales line would be partially manufactured in the U.S. We haven't disclosed EBITDA on regional basis.
Jacob Bout: Okay. And then if we think about when things start to improve, how long does it take for plants to ramp up?
Steve Sommerfeld: Yes, it's case by case, Jacob. But right now, because of the engineering design work that we're doing, we believe we can do that quite efficiently. A lot of that work or all of that work needs to be done prior, all of that work needs to be done prior to those, those orders go into the shop floor. So, as long as we have that work going on, then those orders are ready to hit the shop floor as soon as production is back on.
Jacob Bout: And then if we think about your typical plant, what would be, if we think about from a cost, the fixed versus variable?
Steve Sommerfeld: Jacob, it is Steve again. So, the majority of our costs are variable, we are low intense, our capital intensity is low and you know the majority of our production costs we can flex.
Jacob Bout: Want to move on to backlog. So you talked about record backlog but if we think about the projects that are in backlog currently, what is the ability of clients to postpone them and what is the ability to actually cancel them? And is there any type of financial penalties here at all or how should we think about that?
Steve Sommerfeld: Yes, so each project is a little bit different, we’ve but there are substantial deposits involved in this project. I mean, each of our customers are dealing with the same scenario. Now, it's hard for them to get the staff that they need in order to carry on with those projects, so we’re in daily communication across our backlogs with customers and very good communication back and forth. Certainly everybody understands the situation that we’re all in.
Jacob Bout: Okay, and maybe just last question here on the decline in North American commercial, so it's been very strong for, the investment has been very strong for a number of years. So, backing out COVID-19 and the impact there, is kind of reading in between the lines are you expecting basically that this is going to be the new norm after very strong investment that things are going to tail-off over the next two to three years?
Steve Sommerfeld: Jacob, it’s Steve again. So I think in Canada, that's the case, we had a period of tightened activity and a year-ago was really good at full steam. The investment in Canada continues, but not at the pace it was 12 months ago. The U.S. is a different story, the U.S. has been bouncing along the bottom for a few years now. And we feel there's reason for optimism in the U.S. especially COVID aside again, especially if with improved trade relations between U.S. and China, and an approved macro Ag backdrop. So, the decrease in Canada may very well be taken up by an increase in the U.S.
Jacob Bout: Can you remind us again, what the split is between U.S. and Canada for North America commercial?
Steve Sommerfeld: Yes, so that that would very much change year-to-year. The U.S. market is certainly much larger than the Canadian market.
Jacob Bout: Okay. I will leave it there. Thank you.
Steve Sommerfeld: Thanks.
Operator: The next question comes from David Newman of Desjardins. Please go ahead.
David Newman: So obviously, you're hunkering down here a little bit. Are you going to be putting some of your obviously if you go to the backburner, I think on M&A, I'm thinking about revisiting growth CapEx and it sounds like going to month-to-month on the dividend, you're just kind of seeing what the timing is, are related to how long these plants might be closed and then make that decision because the yield would suggest that maybe a cut might be coming. So any thoughts on the uses of cash?
Tim Close: Well, yes, I think the world is hunkering down David. So that's maybe the understatement. We are being extremely cautious. So all CapEx is certainly on all the main and assessed as we go through this crisis. Yes, I mean it is day-by-day and we're trying to be as cautious and bring together as I said in my comments is digest and incorporate all of the information that we're learning on a daily basis. And so the extent of those delays will determine our path, a couple of weeks shutdown actually isn't that unusual. So it's completely comes down to how long this last.
David Newman: Okay. And then are you seeing any supply challenges either for inputs or for obviously marketing the product, any supply chain challenges that you're seeing other than the blockades that we saw in the first quarter here, but any other things you call out that you're seeing any slowdown into supply chain?
Tim Close: I have two different perspectives on that, our supply chain where we've facility by facility, part by part, we've skew by skew, we've looked at how critical and what our inventories are and what the supply chain looks like by component, by part, by material and are implementing the strategies to ensure that we can continue to operate. From a supply chain, from our customers perspective, I think the challenges are movement people and region by region, how is rail, power trucking. Now, how are they able to operate in this environment. So maybe it's day by day.
David Newman: And maybe you guys could just remind me you've got some actually silver linings here, one being obviously steel costs represent and that represents pretty significant portion of your variable costs. And then I look at foreign exchange, I think you have a fairly substantial U.S. dollar component on translation. But obviously, that'll be a bit of a tailwind. I think just on your reported numbers. And I kind of look at across a few of the things that seem to be obviously lower interest rates for your farmers and altering payment plans. I mean, so maybe just kind of remind us on the steel side and the FX side and what you're doing in terms of taking advantage of these near zero interest rates?
Tim Close: Sure, yes. So on the steel side, you're correct, David, our steel components typically 25% to 30% of our COGS. We believe we have always been very active in the steel market and strategic with respect to our procurement strategy. And we'll continue to do that. We're in a good steel position today compared to the prior-year which will be a tale within 2020. You're right on the foreign exchange also, we are long USD, noticed growth in our audited financials, the sales denominated in U.S. dollars and the costs and else the $100 million U.S. dollars, a strong USD impacts other things, the price of steel, prices inputs for foreign markets et cetera. But generally it's a very positive thing for AGI when the CAD is weaker than the USD or we can compare it to the USD.
David Newman: Your cost index to the Canadian dollar in Canada?
Tim Close: Well, steel prices in Canada will increase with a weaker Canadian dollar.
David Newman: Right, right, okay. What will be the U.S. steel, Canadian steel kind of thing?
Tim Close: You would look again at our production facilities, we have feels the most important to our bin business and we have a bin manufacturing facility in Canada and one in the U.S. So yes, it’s important in both markets. Steel pricing is over time and pass through across the industry. And I think to the last part of your question, David, our farmers are getting and will continue to get a high level of support in this environment had been previously, they had been historically they will get the support in this environment FCC, I think build a $5 billion support package from a credit guarantee perspective that whether it's needed or not and we expect robust support in the U.S. as well.
David Newman: So that could be a big tailwind coming out of this?
Tim Close: Well, I think so, if you look anecdotally, we can see our customers are out planting. They're buying fuel because it sets the record lows and recent record lows, they are stocking up on all of the inputs that they need for a typical year, they've been practicing work from home and quarantine type of work environments for many, many years.
Operator: The next question comes from Michael Doumet of Scotiabank. Please go ahead.
Michael Doumet: So a lot of questions have been asked, but just wondering if at all, questions have been asked, but just wondering if at all, you're able to quantify the EBITDA impact from the two to three weeks suspension. I know you talked about the revenue but just on the impact. And then as a clarification, how much that impact fell into Q1 versus Q2?
Steve Sommerfeld: As Tim mentioned in his comment, there's so many unknowns today, so many variables that we aren't prepared to quantify impact. But I will say is the shutdown of the duration of two to three weeks, there'll be a revenue impact in Q2 certainly, but it's revenue that we believe we will make up in the back half of 2020.
Michael Doumet: Okay, that's helpful. Look, I'm obviously trying to think about the numbers here. And I know you guys are a little hesitant to provide some guidance, obviously last year, a number of challenges for AGI. Just this year, and we're starting with a lot of uncertainty. And maybe just to get some of your thoughts for the potential pluses if COVID is sort of a shorter period issue, some of the minuses and just for context, I mean management, the street I think we all expected EBITDA growth in 2020 or significant EBITDA growth versus 2019. So if we put all the pieces together, I mean does an EBITDA expectation or reset back to 2019 levels makes sense for 2020? Just any color really provide us there?
Tim Close: Yes, we just don't know at this point, Michael. So there's way too many variables for us to be making a call or forecast at this point. Yes, it's just too early to tell.
Michael Doumet: Okay, like that's a totally fair answer, Tim. I think it's hard for all of us to sort of figure this out.
Tim Close: I guess you just like should answer your first part of your question. You asked for some of the positives, the negatives of the unknown and certainly as evidenced by the production suspensions. The positives, I mentioned in my comments. Our customers primarily are receiving exemptions from shutdowns, they have to operate for the world. As part of the supply chain in support of those customers, we are captured by those essential service declarations as well. So that that provides us the opportunity to operate in this environment. Many in most businesses don't have that opportunity. So we are we have a team across AGI that are overwhelmingly looking to continue to work and continue to do our part to contribute during this crisis. So we've demonstrated in Italy, the ability to do that to safely and responsibly operate in this environment in one of the most intense regions in the world, we were able to do that without a single positive case up until the 14-day lockdown they had just Saturday. So, with those repeated again here because it's an important point. But those lessons learned there that we're implementing everywhere. We believe there is a way to operate safely, number one, number one priority across our business is the safety of our people. We believe we can safely operate and as we go forward. So it provides us with the opportunity to continue to operate in this environment. So there's many pluses to that across the board. Coming out of this crisis, I think the importance of that supply chain, that sort of unseen global food infrastructure is going to be top of mind from a government perspective and from an investment perspective, the world will overbuild in order to account for this type of crisis in the future, that includes certainly highlights that we've been talking about over the last number of years is that there's a massive amount of investment needed for around the world, even in mature markets to make the existing infrastructure more efficient, more productive, and more reliable in good days and certainly as needed in days like these.
Michael Doumet: I appreciate the comments, Tim and obviously good job in Italy and good luck for the rest of the team.
Tim Close: Thank you.
Operator: [Operator Instructions] The next question comes from Steve Hansen of Raymond James. Please go ahead.
Steve Hansen: Tim, the decision on dealing with this crisis in Italy, and France. Now India seems fairly logical. Is there any reason that Brazil was added to that list as well just out of curiosity?
Tim Close: Brazil is more regionally. It's not they haven't moved to government required lockdowns at this point. It's just region by region. And so it's each case is going to be slightly different. So in that case, we're like many of the businesses in that region following the lead and other regional businesses or so.
Steve Hansen: Understood, that's helpful. And just thinking forward, I mean I think we all recognized how uncertain this all is and appreciate the challenges. But do you think that an update to the market in for quarter, if there is greater visibility at the time is going to be warranted? I'm just trying to understand, I mean we're sort of at this odd period in the calendar here now, we’re not going to hear from you for a couple months. Just front of it, do you plan to give updates?
Tim Close: I mean short answer is yes, we would plan to provide as much transparency as we hit inflection points as we gather material information. We plan to continue to be open and continue to communicate.
Steve Hansen: Okay, great. And then just maybe finally on top of more optimism around AGI SureTrack, I think in your opening comments you suggest that you've had good traction there. Do you want to maybe give us an update as to what you're seeing there the last quarter, you would had some constraints, as I recall in implementation or beating demand, could you just give us an update as to where you're at?
Tim Close: Yes, we ramped up production through Q4 into Q1 from a hardware perspective and now have very good inventory levels, brought down lead times across the board and we're sitting in a very good position. Those businesses continue to operate to manufacturer to install and now with the release of our second version which is just it's a beautiful platform to operate and it has expanded capabilities, we hope to launch in the coming weeks, so very positive on the rollout and expansion of the technology business, having good impact on integration and cross selling across AGI, all of our traditional products that are being brought into and able to monitor, manage and operate within the SureTrack platform.
Operator: Thank you. There are no further questions at this time. You may proceed.
Tim Close: Okay, well thank you for your time this morning. And we appreciate the continued interest and support. We will sign-off here and just ask everybody to stay safe. Thank you very much. Take care.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and we ask that you please disconnect your lines. Have a great day.